Operator: Greetings. Welcome to Tecnoglass Third Quarter 2020 Earnings Conference Call. [Operator Instructions]
 At this time, I will turn the conference over to Rodny Nacier with ICR. You may now begin. 
Rodny Nacier: Thank you for joining us for Tecnoglass' third quarter 2020 conference call. A copy of the slide presentation to accompany this call may be obtained on the Investors section of the Tecnoglass website. Our speakers for today's call are Chief Executive Officer, Jose Manuel Daes; Chief Operating Officer, Chris Daes; and Chief Financial Officer, Santiago Giraldo.
 I'd like to remind everyone that matters discussed in this call, except for historical information, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements regarding future financial performance, future growth and future acquisitions. These statements are based on Tecnoglass' current expectations or beliefs and are subject to uncertainty and changes in circumstances. Actual results may vary in a material nature from those expressed or implied by the statements herein due to changes in economic, business, competitive and/or regulatory factors and other risks and uncertainties affecting the operations of Tecnoglass' business. These risks, uncertainties and contingencies are indicated from time to time in Tecnoglass' filings with the Securities and Exchange Commission. The information discussed during the call is presented in light of such risks. Further, investors should keep in mind that Tecnoglass' financial results in any particular period may not be indicative of future results. Tecnoglass is under no obligation to and expressly disclaims any obligation to update or alter its forward-looking statements whether as a result of new information, future events, changes in assumptions or otherwise.
 I will now turn the call over to Jose Manuel, beginning on Slide #4. 
Jose Daes: Thank you, Rodny, and thank you, everyone, for participating on today's call. The positive momentum in our business continued into the second half of 2020. And I could not be more thrilled with our exceptional results. On a year-to-date basis, we delivered record adjusted EBITDA of $72.1 million, along with a solid 500 basis point improvement in adjusted EBITDA margin year-over-year, all while retaining our entire workforce throughout the epidemic.
 During the third quarter, we made tremendous progress, with many of our operating metrics going to record levels, including gross profit, adjusted EBITDA, and operating cash flow. We are extremely proud of our team's dedication and ability to accomplish these results in this complex environment.
 Looking at our market, we continue to deepen our presence in the U.S., which represents 93% of our third quarter revenues compared to 86% just a year ago. A primary driver of our increasing U.S. presence has come from our decision to scale up our regional presence in residential end markets in recent years.
 Resilient demand from the strong residential recovery supported by positive single-family housing fundamental has contributed to our sequential revenue improvements since mid-year. In our business overall, our ability to innovate, adapt and execute led to solid growth as we continue to penetrate new customer relationships through new products and geographies. Many projects have resumed across our footprint and we have continued to see improving market conditions overall.
 To that point, our backlog remains strong at $536 million, which provides us with good visibility and a steady pipeline of projects through 2021 and now building even into 2022. We expect our steady prices in the U.S. to continue offsetting the slower recovery from pandemic-related businesses disruption in Latin America.
 In addition to enhancing our geographic presence and product mix, we are focused on generating a strong cash flow. Through tight working capital management, previous high return automation initiatives and careful cost management, we have achieved 2 record cash flow quarters in a row.
 Year-to-date, we have converted over 70% of adjusted EBITDA to cash flow from operations and we have achieved a net leverage of 1.9x, a level not seen since 2015. We are extremely excited that our consortium of mostly U.S. and European banks lenders have recognized our record of success as a U.S.-focused company, where we source over 90% of our revenues. This is reflected in our recently announced $300 million credit facility, which was underwritten on terms comparable to or better than many publicly trading U.S. companies of similar size.
 Our weighted average interest rate went from a prior rate of 7.5% down to an expected rate of approximately 3.5%. This is a direct acknowledgment by our lenders of the power behind Tecnoglass' low-risk and strategically located and vertically integrated operations. They express the confidence in our structural and sustainable advantages within our industry to continue producing attractive growth, margins and cash flow.
 Our management team is highly aligned with shareholders and our team sees the value in our company in the same light as our lenders. With the strength of our balance sheet and greater financial flexibility, we are in a better positioned to execute on our growth objectives. We expect to deliver strong industry-leading margins as we continue to reap the benefits of our previously completed automation projects. We have a highly efficient, vertically integrated and low-cost operation with a wide range portfolio and in-demand products. This positions us for success as the recovery continues.
 For Tecnoglass, 2020 has been a milestone year on many fronts so far as we plan to continue driving additional value in our business in the years ahead.
 I will now turn the call over to Chris to provide additional details on our backlog. 
Christian Daes: Thank you, Jose Manuel. Moving to our backlog on Slide 5. Our third quarter results reflect the continued recovery in the U.S. and overall pent-up demand for our best-in-class architectural glass products. During the third quarter, we continued to broaden our customer relationships and strengthened our presence in new markets across an increasingly diversified footprint, allowing us to achieve growth in a complex environment.
 At the end of the quarter, backlog remained strong at $536 million, up 1% year-over-year, with 88% of that backlog represented by our business in the U.S. It is important to reinforce several factors. Our actual commercial work, which includes all nonresidential project types, is approximately 1/3 of our backlog. The majority or roughly 2/3 of our backlog is residential-related. This mainly consist of medium-rise and high-rise multifamily projects.
 On the other hand, single-family housing is underrepresented in our backlog. This is because of the shorter term nature of those orders. Therefore, I will point out that a significant portion of our growth trajectory is not getting fully captured in backlog like it was several years ago. This will continue to influence the relationship between backlog and forward revenue given our increasing mix of revenue from single-family housing end markets.
 Our U.S. expansion continues to drive high margins in our business as we operate across an increasing number of highly attractive and resilient markets. This includes the Gulf Coast, an area that will most certainly gain increasing appreciation for the protection that our impact-resistant windows provide after experiencing a record number of hurricane landfalls this year.
 Today, we have had no material project cancellations in our backlog even during this pandemic. That said, the rapid execution of backlog invoicing during the third quarter was faster than the replacement rate. This created a temporary air pocket before our pipeline of pent-up demand and start to repopulate backlog. We are having many conversations with customers and borrowing activity remains very active.
 The ABI index continued to increase off its low point earlier this year. The September ABI improved to 47 from just 40 last month, reaching a 7-month high since the pandemic began. As an even more exciting point, the ABI's multifamily sub index increased to 54 in September, which supports the favorable trends that we are seeing in the 2/3 of our backlog which is tied to multifamily residential. Most of the positive trend occurred in the Southeast where we enjoy our strongest market positions.
 Additionally, recent data from IBISWorld suggest that U.S. glass and glazing contractor industry revenue is expected to increase at an annualized rate of 2% over the next 5 years to $14 billion, following a decrease of 14% in 2020. For Tecnoglass, the majority of our above-market growth in recent years reflects our effort to use established position in the southeast to expand into other U.S. markets through our enduring commitment to innovation, reputation, quality and service.
 As this effort continues, we are confident in our ability to further grow our business through a combination of underlying market improvement and disciplined market share gains. Beyond our record of success in executing our projects in backlog, another important driving of the Tecnoglass story is our rapid expansion into the U.S. housing market, which I will detail further on Slide 6.
 Our single-family residential operation is exceeding our expectations since we entered this market several years ago. Today, this business accounts for nearly 1/5 of our U.S. revenue compared to only 3% in 2017. As we look at the current environment, single-family macroeconomic tailwinds are exceptionally strong, evidenced by double-digit housing starts and existing home sales growth in recent months, low supply and interest rate near all-time lows. This sets steady foundation for continued share gains through new products and solid execution.
 Last quarter, we discussed additional steps that we have taken in recent months to expand our single-family business beyond South Florida into other markets in Central Florida and the Florida Panhandle. This expansion is on-track and clearly benefiting our results as we experienced single-family revenue growth of 20% sequentially since Q2 2020.
 Additionally, an increasing single-family product mix provides us with greater manufacturing revenue, which bodes well for our margins and cash flow, as this business carries a lot shorter cash cycle. As an important point, our single-family portfolio of mainly impact-resistant windows are best suited for hurricane-prone coastal markets. We have largely grown by selling our products to contractors who primarily do renovation upgrades or build high-end custom homes in Florida.
 New single-family residential construction, particularly with large-scale production builders, has been largely untapped for us. Therefore, we are very excited to have recently introduced a new product line called Multimax that includes several models for homebuilders. This should help us generate additional organic growth by significantly expanding our addressable markets to a wider target market. We are pleased with the strength in our business and remain poised to capitalize on a strengthening recovery in the U.S.
 I will now turn the call over to Santiago to discuss our financial results and outlook. 
Santiago Giraldo: Thank you, Christian. I will start by discussing our financial highlights for the quarter on Slide #8.
 As Jose and Christian mentioned, we are extremely pleased with our outstanding results during the third quarter of 2020. We improved many metrics to the highest levels in our company's history. This includes record gross profit, adjusted EBITDA and operating cash flow, driven by the focused execution of our team to unlock value through our vertically integrated structural advantages.
 Looking at our top line, U.S. revenues for the quarter were $95.7 million or 93% of our revenues compared to $92.8 million or 86% of our revenues in the prior year quarter. This represented a 3.1% increase year-over-year and 21% sequential growth compared to the second quarter, reflecting a strong U.S. recovery.
 Growth in our single-family residential business outpaced growth in the rest of our business, but we were pleased to see supportive conditions in all of our end markets. Our strong performance in the U.S. has been the primary driver of our results and helped partly offset delayed activity at many customer job sites in Colombia and other Latin American markets, which still remain in the early stages of recovery due to the pandemic.
 Looking at the drivers of adjusted EBITDA on Slide #9. We continued to generate benefits from our prior high-return initiatives to improve our cost structure and increase efficiencies. Adjusted EBITDA in the quarter increased to $28.5 million compared to $24 million in the prior year quarter. Adjusted EBITDA margin of 27.5% reflects an impressive 550 basis points improvement compared to the third quarter of 2019. A 580-basis point improvement in gross margin to 38.8% more than offset the impact of lower revenues.
 The improvement in gross margin was mainly related to lower raw material costs, greater operating efficiencies from prior automation initiatives and a higher mix of revenue from manufacturing activity versus installation activity. The slight reduction in SG&A dollars was due to lower variable expenses related to shipping, commissions and other personnel expenses as well as tight cost controls. As a percentage of sales, SG&A was unfavorable due to lower revenues.
 Our significant margin improvement in 2020 is a testament to the prudent investments in our business over the past several years to improve efficiencies and produce the highest quality products for our customers. This is further supported by our dedication to quality and innovation, which we are able to achieve in multiple areas of our vertically integrated platform.
 Looking at our improved balance sheet and leverage profile on Slide #10. It has been a longstanding goal for us to improve the terms of our debt and we were very pleased to announce earlier this week a new $300 million senior secured credit facility. This consists of a $250 million delayed draw term loan and a $50 million committed revolving credit facility.
 Our maturity schedule was extended by 3 years to 2025 compared to a weighted average of 2022 for our previous facilities. The new facility has an initial interest rate of LIBOR plus a spread of 3%. Beginning in April 2021, the spread will be based on our prevailing leverage ratio. We, therefore, expect the spread on LIBOR to decrease to a level of 2.75% in April in accordance with our credit agreement. This will represent an approximately 400 basis point reduction from our weighted average interest rate of 7.4% previously.
 Through this new facility, we intend to pay down all other existing indebtedness, starting with our previous facilities and lines of credit. Our existing $210 million of senior notes, which bear an interest of 8.2%, will be redeemed at the end of January of 2021 upon a step down in redemption price.
 Following the paydown of previous facilities and redemption of the notes, we will significantly reduce our amortization schedule and cash interest expense. We estimate aggregate savings will be approximately $11 million per year. The recapitalization of our debt structure will significantly enhance our financial flexibility to execute on our growth objectives.
 We are grateful that our consortium of mostly U.S. and European lenders have recognized our strong track record of growth and cash generation as a U.S.-focused company. As Jose mentioned, the terms of the deal reflect this fact and are comparable to or better than many similar sized publicly traded U.S. companies.
 During the third quarter, we generated record cash flow from operations of $26.2 million, bringing our year-to-date to approximately $51 million. This reflects our aggressive cash management, tight cost controls, working capital improvements and automation benefits, with CapEx during the quarter largely limited to maintenance spend. In turn, we further deleveraged our balance sheet to end the third quarter with a very conservative net leverage ratio of 1.9x net debt to LTM adjusted EBITDA.
 From a capital allocation perspective, we remain committed to maintaining our defensible balance sheet investing in value-enhancing opportunities and returning a portion of capital to shareholders through our cash dividend.
 Moving to our outlook on Slide #12. As we move into the month of October, single-family residential continued to represent a growing share of our revenues and is supported by strong trends, existing home sales and single-family housing starts.
 Based on our current invoicing schedule and underlying market demand, we are pleased to provide our full year 2020 adjusted EBITDA outlook of $95 million to $100 million, implying year-over-year growth of 6% at the midpoint of the range. This outlook also implies roughly 18% growth in the fourth quarter of 2020 adjusted EBITDA on revenues comparable to the prior year quarter. We expect to have a higher mix of product versus installation revenue.
 Furthermore, we continue to expect the U.S. to represent a significant majority of our growth through year-end, led by residential with stronger demand in the U.S. expected to offset the slower recovery in our Latin American markets.
 Given sustainable benefits related to our automation initiatives, a higher mix of manufacturing revenue and weak local currency for the rest of the year, we expect our adjusted EBITDA margin for the fourth quarter of 2020 to be higher compared to the prior year quarter, albeit lower sequentially compared to the quite exceptional level in the third quarter of 2020.
 In regards to gross margin, as our markets and raw material costs stabilize over the next several quarters, we expect gross margins to trend back towards a more normalized level in the mid-30s range. This normalized margin is slightly higher than our previously communicated low- to- mid-30s range, due in part to our previous CapEx investments in automation initiatives.
 We are very excited by our success so far in 2020, considering the unprecedented circumstances of this year.
 Moving forward, the momentum in our business is positive. We expect to drive additional market share gains through the continued expansion of our business, and we are working closely with our customers to execute on our backlog and invoice single-family orders across our footprint.
 Our focus on attractive new project opportunities will allow us to continue gaining share through the recovery. Our innovative product portfolio, strong industry relationships and structural competitive advantages provide us with the right foundation to continue growing faster than our end markets to 2021 and beyond.
 With that, we will be happy to answer your questions. Operator, please open the line for questions. 
Operator: [Operator Instructions] And our first question is coming from the line of Mike Shlisky with Colliers Securities. 
Michael Shlisky: I'm glad to see you're finally getting some credit for the fact that your business is essentially a U.S. company. And I'm glad it's finally showing up in your actual lending agreement.
 I want to ask just a couple of details on that agreement. It doesn't seem like you're going to see any kind of EBITDA slowdown anytime soon, so you'll still be generating some decent free cash. Do you have any plans to repay this deal early day points? And are you restricted from any debt paydown for the first few quarters or a couple of years or so? 
Santiago Giraldo: Well, first of all, it's definitely encouraging to see how this deal was underwritten. I think, as you mentioned, one of the key factors in the financing was to see this company as a U.S.-based company, in the sense that our exposure is now 95% into the U.S. market. And clearly, that is showing, based on how resilient that market has been vis-à-vis some other markets in LATAM, which now account for very little of what we do.
 So that was a fundamental part of being able to get this deal done in the terms that we were able to get it done, so that was very encouraging.
 As far as cash pay down or prepayments, we have flexibility to do so. So as we move forward and the company continues to generate a healthy amount of cash flow, if we see that from a capital allocation, that's what makes best sense, we are able to do so. So we don't have any prepayment penalties to speak of, so we'll manage our cash flow accordingly. And if it makes sense to prepay some of this debt ahead of time, we will.
 The nice thing is that the way that the credit agreement was negotiated, we do have flexibility on the amortization schedule based on amortizing at 5% of the capital for the first 3 years and then 7.5% for years 4 and 5.
 So we do have ample flexibility. But if we continue to generate this healthy amount of cash flow, we'll go ahead and use that accordingly. 
Michael Shlisky: Got it. Let me move on to a different topic. I wanted to ask about the pricing dynamics in the industry in the third quarter and maybe in the start of the fourth quarter here. It sounds like everyone's doing quite as well as Tecnoglass these days. I'm curious if you've seen any sharp elbows when it comes to bidding on anything new recently? 
Santiago Giraldo: I'll let Jose take that. 
Jose Daes: Yes. Listen, we have been quoting tons and tons of new jobs and previously delayed jobs especially in mid-rise and low-rise. The encouraging thing is that the large inventory that was in the high rises has been selling really fast. And now all developers are calling to get quotes on high rises too because, through the pandemic, people found out that they could work from home and it's much nicer to be in a home, employed with better weather and furnished tiles than anywhere in the north of the U.S.
 So we're getting a lot of migrants. And sales are skyrocketing, of condos and houses, so we're very happy. We're very pleased. And the amount of quoting and the amount of jobs that are closing is very encouraging. 
Michael Shlisky: Okay. Maybe one last one from me. It wasn't really mentioned, maybe it's not worth mentioning at this point; but can you update us on the impact of COVID-19 in Barranquilla, as well as in your international facility? Anything we should be aware of there? 
Christian Daes: Well, this is Christian. I'm in charge of operations, and we haven't had many cases in the last 2 months, probably 5 or 6. And we have over 5,000 employees. And the situation in Barranquilla is it is under control. As a matter of fact, we have 1 people die every 2 days in Barranquilla and probably less than 100 cases a day when we used to have -- back in June and July -- above 1,000 cases a day. So it's pretty much under control. It has been there for the last 3 months, and we hope that we'll continue to be on the same path. 
Michael Shlisky: Well, great. That's great news. I appreciate the color there. I'll pass it along. 
Operator: The next question is from the line of Tim Wojs with Baird. 
Timothy Wojs: Nice job on the quarter and the debt agreement. Maybe just a 2-part question, first on residential. Just the builder products that you're introducing here; I mean, what are the -- what are kind of the operating things you need to do to go out and sell that product? I mean, do you need to sign builders to get that product kind of going? And is that something that can meaningfully help the residential business as you look at '21? Or is that more of a '22 type opportunity? 
Jose Daes: No. It's an opportunity even now. We had many requests from developers that do track homes, and that is a very, very low-price product that we did not have in our portfolio. So we developed the product in the last 9 months. We tested it and then we got it out. And as soon as we got it out, we've been getting new requests and we have sold a few jobs already with that product. It's an unbelievable product. It's much better than the competition and around the same price or lower in most cases. 
Timothy Wojs: Okay. And then I guess on your kind of existing R&R business on the residential side, one of your peers spoke about, I think, 20% order rates in Florida this quarter. Are you seeing kind of a similar level of order activity? And would you expect that to kind of convert over the next couple of quarters? 
Jose Daes: Yes, we do. We do. We're growing. I mean, we are new in the business and we're growing, and everyone is growing. I see our competition is doing better because there is a lot of movement into new housing in Florida. I mean, it's really encouraging, and we are penetrating the market. We are growing with our own existing clients and getting new clients, which is why we keep growing and growing. 
Timothy Wojs: Okay. And then maybe just on free cash flow, you've had really great performance the last couple of quarters. As you look at '21 and incorporate the debt refinancing savings, is there a way to think about what kind of a normalized free cash flow number could look like going forward? 
Santiago Giraldo: We'll basically assess that, Tim, as we close the year, because we'll have much better visibility on what working capital will look like and what growth rate we can achieve next year. It's really going to depend on that.
 From a CapEx perspective, we don't anticipate to see a high CapEx number, based on the fact that the automation initiatives have been completed. If we see other opportunities to further optimize, then we might have some CapEx in 2021, but nothing like you saw last year, for instance.
 So my expectation is that we will continue generating free cash flow. I mean, I couldn't talk about the level that we would expect on a normalized basis without really kind of understanding what things look like with COVID, with the election out of the way and everything else. Because a key variable to that is going to be working capital, right? So the nice thing is that the more that we get into residential, the better that we cash flow because residential carries a much shorter cash cycle, right? I mean it's a spot business where you get paid right away as opposed to having retainage or other things.
 So the expectation is to continue the trend. I mean, I don't see any reason as to why not. I'll give you further clarity and more detail when we report next call. 
Timothy Wojs: Okay. That's helpful. Good luck on the rest of the year, and we'll see you next week. 
Operator: Next question is from the line of Josh Wilson with Raymond James. 
Joshua Wilson: Congrats on the quarter. First question for me, could you give us a sense of how much of your backlog is for 2022? 
Christian Daes: Typically, the way it works, Josh, back of the envelope is that 2/3 of the backlog gets executed within the next 12 months. And the remaining part of the backlog goes into the back end of 18 months, so from month 12 to 18. And that's kind of back of the envelope. And then it's also important to note that the more that we get into residential, the more unrepresented the sales are in the backlog, because you're not accounting for all of that residential, single-family residential activity that is not captured there.
 So for modeling purposes or whatnot, you'll have to account for that. But on the residential -- on the commercial side, the back of the envelop calculation is 2/3 within 12 months and then 1/3 from 12 to -- from months 12 to 18. 
Joshua Wilson: Okay. I want to make sure there were no changes there.
 And then as it relates to your joint venture, we saw that you went ahead and made the land transfer. Is that an indication that the plans to begin building the plant are back online and you and Saint-Gobain have increased confidence in the outlook to go ahead and proceed there? Or is it just a step that you're still in the holding pattern? 
Jose Daes: Well, the way it's going is that Colombia is sold out on glass, Vidrio Andino, which -- we are a part of Vidrio Andino, today. We are importing a lot of glass in order to supply the demand in Colombia. We still see that it's a very good business. Saint-Gobain seems the same.
 We have -- we are continuing to move with the permits and we'll make a decision within the next few months. Obviously, we want to know how all this pandemic will play out finally and make sure that everything is in line. But yes, we are -- up to today, we're moving forward. 
Joshua Wilson: Got it. And then one of your competitors talked about labor availability issues, both in the factory and out in the field. Can you talk about to what extent that's having any throttling effect on your production or installations? 
Jose Daes: No. In Colombia, we have had high unemployment for a long time in Barranquilla. We could grow to double or triple the size and still bring enough labor to hire. So we don't have that problem.
 Installation, we do very little installation in the U.S. through GMP, and we're doing fine. And the rest of it, we sell to installers that they have their own crews and personnel, so we don't see that happening to us at this moment. 
Operator: Our next question comes from the line of Alex Rygiel with B. Riley FBR. 
Alexander Rygiel: Really nice quarter, gentlemen. Santiago, looking at 2021, backlog is up a little bit; resi should grow nicely. So does low- to- mid- single-digit revenue growth sound achievable in 2021? 
Santiago Giraldo: Yes. I think so. As I was saying earlier, we'd like to have as much clarity as possible before we kind of start talking about guidance for 2021. But that's certainly achievable, especially with the growth that you heard from Jose and what we expect single-family to continue doing over the next few quarters, so yes. 
Alexander Rygiel: And then you made some comments about gross margins in the mid-30s. 2020 is going to come in closer to 37%. So are you expecting 2021 gross margins to be flat to down a little bit? And if so, I suspect it's because of a shift in mix, but if you could clarify that? 
Santiago Giraldo: Yes. So basically, there were a couple of moving parts here in Q3, as it was the case in Q4. Raw materials -- obviously, aluminum was still much cheaper at the beginning of the quarter. Now, it's up to par to pre-COVID levels, so we got a little bit of benefit from that. The quarter was also benefited from mix. As you just heard Christian, we're doing much lower installation in the U.S. and have done for the next 2 quarters. But a lot of other things are structural.
 So we increased our kind of guidance on gross margin from last quarter to this quarter, based on the fact that we're seeing what is structural related to efficiencies, related to the automation that was put in place. So I think mid-30s could be the run rate. It could be maybe another point here and there. But to be conservative, I think that absent a given quarter with a higher mix of installation, that should be a normalized run rate, 35%, 36%. 
Alexander Rygiel: And then lastly, can you expand upon your plans to take the residential product outside of Florida? 
Jose Daes: Yes, we do. Now that the hurricane season has been hitting hard Louisiana and Texas, we have a lot of requests and we have made a couple of visits. And we are in the way of establishing new distributors and dealerships all over the Gulf Coast. And on the East Coast, we're all the way now to Jackson Mill, and we plan to go up to South and North Carolina soon. 
Operator: Our next question is from the line of William Jellison with D.A. Davidson. 
Will Jellison: Chris, I have a question for you about the backlog mix. I'm wondering, are you seeing a pretty significant shift away from office building projects towards those mid- to- high-rise condominiums you're talking about? And also, are the types of glass products installed different between those 2 project types? 
Jose Daes: Yes. We have seen less office buildings and less hotels, which are the hardest hit through the pandemic. And we have seen a surge in mid-rise residential, a lot of rentals. And the glass, seems the cold change took effect. And now they require a better shaping coefficient for the environment. The glass is almost the same now in residential and commercial.
 So we're very happy about that. And we have the best product in the market for mid-rise. I mean, we are the preferred supplier. So we're doing really good. I mean, we're very, very excited and happy. 
Will Jellison: Excellent. And you mentioned also in the call that your products are well suited towards hurricane-prone markets. I'm wondering, when you look at your competitors, are they offering a similar type glass that's specific to hurricane-prone buildings? Or is that a fairly specialized niche that you guys alone occupy? 
Jose Daes: No, no. They offer a similar glass. Everybody offers a similar glass from a different supplier. We offer our own glass because we make everything. They offer from other suppliers that do make glass and [ so-called ] glass.
 They are similar, but the glass is not the only thing, I mean, that affects a window. The performance of the glass is similar. But then you have the pressures of the window -- I mean, the aluminum and the whole system and the capacity to retain water and noise. And our window performs much better than most of the competition. 
Will Jellison: Okay. Great. And then pivoting -- Santiago, I had a question for you about free cash flow. So it's nice to see that it's been pretty strong so far this year. And as you guys pay down debt and get to a comfortable leverage level, what are your focuses with reinvesting that cash flow into the business, so that it can compound into more free cash flow next year? 
Santiago Giraldo: Absolutely. I think that from a capital allocation perspective, it was very important for us to get to a very comfortable leverage position. And I think being sub-2x is getting us where we want to be.
 I think now we're going to have to kind of find opportunities, right? I mean our installed capacity is at a comfortable level after having completed the automation efforts last year, right? So we have ample capacity to grow.
 So depending on what comes next and how things shape up, that is one of our focus, either to continue de-levering the balance sheet or doing -- reinvest in opportunities that are going to add value to the shareholders.
 So more to come. I think there are -- there will be opportunities to kind of reinvest the free cash flow that you're talking about. 
Operator: Thank you. At this time, we've reached the end of our question-and-answer session. I'll turn the call over to Jose Manuel Daes for closing remarks. 
Jose Daes: Our reputation for excellence continues to strengthen in new markets with more customers and through more products. That has been recognized in a meaningful way by our lenders. We truly appreciate this vote of confidence in the capital markets.
 Thank you, again, to everyone on the line for participating in today's call. We appreciate your continued interest in Tecnoglass and look forward to speak again soon and give you always good and better news. 
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.